Operator: Good afternoon, everybody, and welcome to Zurich Insurance Group's First Quarter 2025 Results Q&A Call. On the call today is our Group CEO, Mario Greco; and our Group CFO, Claudia Cordioli. Before I hand over to Claudia for some introductory remarks, just a reminder for the Q&A. [Operator Instructions] Claudia, over to you.
Claudia Cordioli: Thank you, Mitch. Good afternoon, everyone, and thank you for joining us today. I'm Claudia Cordioli, Group CFO. I'm here with our CEO, Mario Greco. I will first share a brief overview of our results for the first quarter of 2025, after which we will open for questions. Before looking at our individual business lines, the key message I would like to highlight is the solid start Zurich has made to the new financial cycle. Our uniquely diversified footprint, focus on delivering sustainable quality growth, coupled with strong capitalization and financial resilience, all underpin the current quarter's performance and how we manage the business for the long term. Now turning to each of the key businesses. I'll start with P&C. I'm pleased to report positive top line growth with insurance revenue up 6% like-for-like. This compounds a strong prior year comparison where revenues increased 5% in the full year. Aggregate pricing across both retail and commercial lines continued to appreciate this year. Combined with ongoing management actions on the P&C portfolio, which I will touch on later, the quality of growth continues an upward trajectory. In Commercial P&C, we continue to grow the business profitably. Gross written premiums grew 2% in U.S. dollars and 4% like-for-like with positive pricing momentum of 3% rate increases. North America specifically continued to experience overall rate increases of 6%, with particular strength in commercial auto, up 16% on top of a double-digit price increase in the prior year. We continue to improve the quality of the portfolio, exiting business which doesn't meet our threshold. Excluding those actions, this quarter, underlying growth in North America would have been 5%. Selective growth in Middle Market and Specialty, together with proactive portfolio management resulted in an improvement to the underlying profitability of the North American book. In retail, gross written premiums rose 11% in U.S. dollars. The first-time inclusion of AIG Global Personal travel insurance and assistance in Zurich numbers contributed approximately half of this growth, adding $13 million of policies. Additionally, we capitalized on a positive pricing environment where rates increased 5% across the book. Momentum in both motor and property pricing continued strongly in the quarter, adding to price rises in 2024. Overall, the prospects are strong for our retail business, giving us confidence in returning to the desired long-term level of profitability. Now shifting to Life. The business delivered an excellent 18% increase in gross premiums in the quarter. Strength in unit-linked, protection and the new capital-efficient saving products in Spain helped to propel the level of growth. Efforts continue on the buildup of our global protection platform, which will accelerate growth in line with our 2027 ambitions. Switching gears to Farmers. Farmers Management Services underlying fee revenues rose 3% year-on-year, including the strong performance in the brokerage entities with fee service revenues up 34%. The Farmer exchanges reported a 5% increase in gross written premiums with new business, increased customer retention and price the primary drivers. The 3 months rolling PIF trend continues to improve. The effect of ongoing management actions at the Farmers exchanges continues to manifest in strong underlying underwriting profitability despite elevated catastrophe losses, including the wildfires in California in January. This translates into an outstanding surplus ratio of 42.6% at the end of March, the highest for farmers since end of 2020. Raul Vargas and the team continue to improve the financial position of the exchanges and position them for growth. And finally, we closed out the quarter with a very strong SST ratio of 256%, reflecting a prudent approach to capital management. The 3 points increase compared with the full year level was driven by net capital generation and additional cat reinsurance secured in 2025. The SST ratio remained extremely strong throughout the month of April despite market volatility, ending the month approximately 10 percentage points below the March quarter end, hence, confirming again the resilience. So in summary, our businesses started the year very positively, delivering revenue growth underpinned by a strong capital position and expanding margins. With our geographically diversified business, outstanding track record and robust balance sheet, I am confident that we will continue to deliver on our targets by focusing on the things we can control and managing the business for long-term value creation. With that, Mario and I will be happy to take your questions.
Operator: [Operator Instructions] The first question comes from Andrew Sinclair from Bank of America.
Andrew Sinclair: Two for me. So first is just on U.S. commercial pricing. A fairly constant message again from you today, but we've heard some cautious comments out of the U.S., some of your peers, but you've talked again about increasing margins in North America today. What would it take to lead to margin pressure in North America? And what are you seeing that's so much better than peers is question one. Question 2 was actually on the Life new business. Just looking to see if you can give us some more details on both the profit margins for unit-linked protection and savings and likewise, the growth rates on a PVNBP basis. To be honest, I probably find that sort of product breakdown more helpful at the quarters than the geographic breakdown, if that's possible. That's it for me.
Claudia Cordioli: Thank you, Andrew. So on the first point on CI, on commercial insurance rates and the U.S. environment in particular. As we said in our release, we view the broad rate environment as very constructive. And I think the key point here is really the quality of growth. So if you -- if we peel the onion a bit below the overall headline, we need to look at the business line by line and market segment by market segment. So the reason at the [ CMD ] last year, why we said we want to grow in the middle market segment was actually the stability and the resilience of rates in that segment. So we are looking at a situation in the U.S. where property rates start to moderate but in the -- specifically in the large accounts and the E&S space more so than elsewhere. This is why we are comfortable to grow in the middle market segment, where property is still in terms of rates going up at mid-single digit, right? If we look at commercial motor, I was mentioning before, 16% is the level of rate that we are getting. Remember that this builds on a double-digit rate growth already last year. Specialty is growing as well on a rate improvement of double-digit range. Liability, 7% on primary and double digit on excess. So it really depends on the segment. It really depends on the line of business, and we are targeting the growth in a way that it improves the underlying margin. So we've been exiting some of the business that wasn't profitable, as I mentioned before, we've been reducing our exposure to some programs and to some of the motor relationships we had. That has, on one side, impacted our top line growth. So it's visible, right? It kind of nets the underlying growth in middle market, but it does improve margin year-over-year. I hope that answers your question.
Andrew Sinclair: Yes, comprehensive. And on the life new business.
Claudia Cordioli: On the Life new business, we are very happy actually with the overall level of margins that we are getting. The slight decrease that you see year-on-year on the margin is actually determined by the growth in the savings business in the new capital-light product that we launched in Spain. And the reason why this business appears to generate lower profit margins compared to last year is that the majority of the profit from this business is not coming through CSM, but through net investment income. So if you were to adjust for that, the margin would be actually stable year-on-year. Now we are very happy about the way unit-linked is developing in Italy, in the U.K., in Switzerland, the margin is very strong. We can provide you with the individual breakdowns. And the same applies to the protection business, which is actually also stable year-on-year.
Operator: The next question comes from Michael Huttner from Berenberg.
Michael Huttner: And again, lovely results. I have 2 questions. One is, can you share your thoughts on Baloise? I think Helvetia called it a once-in-a-lifetime opportunity. I would have thought one might have seen it the same for Zurich. And then the second is a more precise question on Farmers. So the surplus ratio improved, which makes me think the underlying margin was stunning. Can you give us a little bit of a feel for where it is or where it was?
Claudia Cordioli: Thank you, Michael. So on Baloise, look, there is a friendly agreement between 2 Swiss players. They have agreed to merge in a merger of equals structure. And I think that's a very clear solution. So nothing much to comment from our side. On the Farmers surplus ratio, you're right. So despite, again, the California wildfires impact in the first quarter, Farmers has been able to improve the underlying combined ratio. So that's a very positive -- further positive development actually. And they also benefited from some investment income additional tailwind. So overall, you should expect the combined ratio to be still below 100% despite the cats. And again, there's some additional investment support. So overall, they are positioned very well for going back to growth. And the point that I would like to stress from the communications that we made is that we are seeing the PIF decline rate slowing down in March was still a small negative, the rolling average, but we see the trend clearly turning.
Michael Huttner: Could I just ask, would that mean that we could even see a rise in this rolling number in Q2?
Claudia Cordioli: It's early to tell. We could. We'll give you an update beginning of August, Michael.
Operator: The next question comes from William Hawkins from KBW.
William Hawkins: First of all, please, thank you already for the detail about the North America. I'm just trying to reconcile in your press release the gross written premium change and the insurance revenue change because they're interestingly different. Your gross written premiums are up 8%, but your insurance revenue is only up about 4%. Is that a sign that your insurance revenue should be accelerating at some point because I think one is earned and one is written? Or is there some other kind of technical explanation? So the heart of my question there is I'm wondering whether the figures we're going to be seeing are going to be showing accelerating growth because of that relationship? And then secondly, please, yes, I was interested in your life short-term contract figures, the like-for-like 15% growth was pretty significant. And I'm just wondering, I've been thinking that, that line item is maybe a mid-single-digit growth for profits. And I'm wondering if I've been underappreciating the growth momentum that you've got in short-term insurance contracts or if ultimately this higher growth in volume is going to be diluted in some way in terms of the profit growth?
Claudia Cordioli: Thank you, William. So on the first question, yes, you gave the answer yourself. So indeed, there's some timing lag in the recognition of the premium. So you will see earned eventually catching up with premium. So there is some business that we are writing that's bulky in nature, and that explains the gap between GWP and GEP, but it will pick up eventually. On the short-term business, well, I think in this case, you've got 2 things going on. One, and that's probably the most impactful in this case, is the fact that we are growing significantly in Latin America with the business in relationship -- sorry, in collaboration with Santander with the joint venture there. And you've got a significant impact from the U.S. dollar and the Brazilian peso devaluation -- depreciation, sorry. So that's probably the biggest impact in here. It's a business that's growing very nicely. We continue to like it very much. It's very profitable. Hopefully, the currency situation will stabilize.
William Hawkins: Sorry, just to be clear, if the like-for-like growth is 15% in revenue, does that generally point to similar growth in profits? Or is there a reason to assume that profits will be very different from revenue?
Claudia Cordioli: I would assume it's in line. I would assume it's in line.
Operator: The next question comes from Andrew Baker from Goldman Sachs.
Andrew Baker: The first one, just curious how you're thinking about any direct or indirect impacts from the U.S. tariffs? And can you just remind me your EPS sensitivity to U.S. dollar weakening? And then secondly, there was no mention of the crop portfolio in the release. Are you able just to provide an update on how volumes are developing here and also where you're at in your turnaround journey?
Claudia Cordioli: So on your question on tariffs and geopolitical situation. Look, I mean, as I said in my intro remarks, we are managing the business for the long term. We've got a very clear strategy. We are also, as an organization, able to adapt flexibly to the changes in the environment, and we continue to be extremely committed to deliver on our targets. You've seen our Q1 top line. We are very happy about the way the business started into the year. The quality is very high. The growth is what we would expect. So there's no indication for now that we will do anything differently or we will not be able to achieve our targets for the 3 years, but also come below our expectation for the full year. So we are driving full steam ahead. We will adjust in the short term if and when required. I'm very confident that the business will deliver. Sorry, your second question?
Mario Greco: EPS.
Claudia Cordioli: EPS. Yes, we don't give a sensitivity on EPS from the U.S. dollar depreciation. We give a sensitivity on SST, which is 10% up or down will drive a 7%, 8% movement in our capital position.
Andrew Baker: Great. And then on the crop business?
Claudia Cordioli: On the crop business, so the crop business has started the year in a positive fashion. We've taken a lot of actions with the new leadership in the second half of last year and in the beginning of this year. As you know, in the crop business, there's 2 fundamental things that are happening at the beginning of the year. One is the decision about the governmental program, the participation there and the degree of private business that we are writing. And then the second point, which is obviously independent from us is the price fixing in February. So February was obviously before a lot of the tariff and trade-related announcements. At that point, the price was fairly stable. We'll see when yields will become known at the end of the year and the price definition will catch up with the development during the year. That's only November. So there's some time to go for us until there. But so far, we are happy about the mix of the portfolio that has changed. So under the new leadership, we are decreasing the private products in our portfolio, the relative share of private products in our portfolio. We are improving the geographic footprint as well. So decreasing our dependency on a number of states. So we are more varied in terms of products and also state mix. So we are happy about what we can control. The rest will need to pick up again this question in October, November.
Operator: The next question comes from Andrew Crean from Autonomous.
Andrew Crean: Yes, a couple of questions, please, for me. Firstly, could you give a bit more detail in the -- on the SST movement from December to March? Particularly, I think you talked about the impact of cat reinsurance, whether you could remunerate that? And then secondly, could you give us some of your thoughts on the proposals going through the House of Representatives in the U.S. Section 899, which could apply punitive taxes on U.S. subsidiaries of overseas multinationals?
Claudia Cordioli: Thank you, Andrew. So on the SST movement from December to March, we're up 3 points. The 2 bigger drivers of this, 1 point is the profit, so the new business addition and the profitability of the new business over and above the accrual for the dividend. And then the second driver, actually, the biggest driver for 2 points is the cat reinsurance. So a few things happened in reinsurance. One, we've been buying in January an additional top layer on top of the usual program for $100 million capacity. And then the second thing, which we've done in April, taking advantage of the good underwriting, obviously, from the Zurich teams, but also the favorable price environment. We've been buying a global aggregate that will protect us in lower layers for orientatively, I will say, 1 in 4, 1 in 5 type of scenarios. So those are 2 very positive developments, the way I'm looking at it. On one side, as I mentioned before, I think it's a testament to the really great underwriting by the Zurich team and in particular, the progress that has been made in the U.S. with respect to the cat exposure. But it's also a fact that we've been able to negotiate in the current favorable environment also the aggregate cover, which is a very positive step. On the second point, on tax, maybe more broadly, and we can come back to you on the details, Andrew. We are obviously domiciled in U.S. for the business that we run in the U.S. We are regulated on a state-by-state level. We run our business out of U.S. entities. We pay our taxes in the U.S. So we don't expect impacts from the tax discussions or the tax initiatives in U.S. for now, but we can come back to you with further details.
Operator: The next question comes from Will Hardcastle from UBS.
William Hardcastle: First one is just a follow-up on that aggregate protection actually. It seems to be offering quite a lot of cover down the tower. I just want to know is that covering all geographies and how much the capacity was there? The second one is just thinking about the Farmers guidance, the 3-year guidance on revenue growth. There's been an awful lot of moving parts since that was struck actually, whether that -- just interested in your confidence on that target. We've got U.S. pricing changing, potential supply-demand changes post California wildfires, just some that spring to mind.
Claudia Cordioli: So on the aggregate, yes, it is covering all the geographies. And as I mentioned before, I think it's a very good step taking into account the robustness of our underwriting. We were able to place the way we wanted it, so leveraging both alternative capacity, collateralized capacity and traditional reinsurance. So it's quite an innovative deal. I'm very happy about that. So on Farmers, the guidance is very, very positive. We don't have any indication that they would not be able to meet the full year guidance. The one thing...
Mario Greco: Then well, sorry, I jumped in. You should know us. We never changed the things that we announced. we can exceed, we can miss, but we never change it. So what was announced was announced. As always, we want to exceed the targets, and we're confident we will at Farmers, but it's unthinkable for us to change targets announced. We don't do that.
Claudia Cordioli: All indicators we are seeing are actually positive in this respect. So you will see I would expect a different mix of the growth drivers between rates, which was obviously the key driver for growth in the past and the number of policies and the number of customers. So we mentioned in the release that new business is positive, and it's quite a significant positive, which I think is a very good sign. We also mentioned that retention is increasing, which hasn't been the case for a number of years. So well, if I sum up those 2 indicators, they tell me actually that they are absolutely on the right path for growth in terms of customers and policies. And obviously, rates at some point will start to moderate. That's obvious, right? They got a lot of rates like everyone in the industry over the last 18 months, 24 months. But that's fine. I think the mix will change, and we will see a continued growth in the GWP.
Operator: The next question comes from Fahad Changazi from Kepler Cheuvreux.
Fahad Changazi: Could I ask about U.S. middle market? What premiums did you book in Q1 and/or what do you expect for growth in full year 2025? And could I also ask how much of your commercial premiums are U.S. auto?
Claudia Cordioli: We don't give the guidance by segment and by product at this stage. We might think about doing that maybe in the future, especially for middle market, but we decided not to do it on a quarterly basis. So the growth that we are seeing in the first quarter for the reasons that I mentioned at the beginning of the call, is in underlying terms, very strong when it comes to property, when it comes to liability, specialty number of lines, and it's slightly -- well, it's slightly -- it's moderated by some exits in the motor business and in the U.S. program. But if we look at the classical, say, P&C lines within middle market, they're actually going up 11% year-on-year, and that's supported by rates, but also the growing exposure. And as I said, it's partially offset by those very deliberate actions that the teams have taken. On the motor premiums, it's a significant line for the U.S. -- obviously, for the U.S. business. but it's by far not the largest one, and it's one line where we've been decreasing exposure despite the 16% price increase. From memory, I think 6% down is the year-on-year impact on motor. So we've been taking, as I mentioned, very deliberate action.
Operator: The next question comes from Vinit Malhotra from Mediobanca.
Vinit Malhotra: So my 2 questions. The first one is on commercial margins. And here, I would say it's obviously a very good sign to see the portfolio helping the margin. I'm just curious, do you think that any potential U.S. inflationary pressures could put some of this at risk? Or do you expect obviously some pricing increases alongside? So just curious as to how you see this changing or potentially changing inflation landscape in the U.S. with respect to the margins, which today we are still seeing are improving. Second question is on the Life, the strong phenomenal growth. I think in full year results, you had indicated you do expect the outlook of flat profit to be possibly exceeded. Is it a fair assumption that with these kind of growth numbers you've seen in 1Q, you get confidence or we should be more optimistic about life than even before about the flat outcome?
Claudia Cordioli: Thanks, Vinit. So on your first question on inflationary pressure on pricing. I mean, obviously, insurance prices do reflect inflation and do react to inflation. So should there be an increase in U.S. inflation due to the current trade discussions, I would expect the prices to adapt. And just to give you a sense, if I look at the Farmers book, on the home side, they typically reprice every 12 months. The policies are renewed. And with that, the repricing can happen every 6 months -- sorry, every 12 months. The motor policies majority renews every 6 months. So there is the opportunity to reprice if -- and the same applies, obviously, to the commercial business should inflationary pressure come through. I would probably argue that we all learned from the COVID experience and from the inflationary pressure that followed to be a bit quicker and a bit more flexible in reacting to inflationary pressures. So I think everyone in the market is a bit more alerted to this type of development. On the point on Life growth, we never changed targets, as Mario has reiterated before. So I will not do it. We also like to underpromise and overdeliver. So $2.2 billion, which is our level of BOP for last year is already a very ambitious level. So at this point, given the uncertainty in the market and on -- as we just spoke, interest rates, inflation and everything, I would stick to that.
Operator: The next question comes from Kamran Hossain from JPMorgan.
Kamran Hossain: Two questions for me. The first one is just coming back to the commercial auto kind of rate changes. So plus 16%, obviously, a very big driver of rate, but also very positive. I'm just really interested in kind of where you are in the repricing cycle in this kind of when it starts and when you kind of think it will finish? Will it tail off in H2? Or do you think it will continue going for the remainder of 2025? And the second question is just specifically in North America. What was the rate that you're getting or seeing on the large account property?
Claudia Cordioli: Sorry, Kamran, can you repeat what's the rate?
Kamran Hossain: The large account property, in North America.
Claudia Cordioli: Okay. So on commercial auto, where are we in the repricing cycle? We started already last year, as you know. I would expect prices to remain elevated over the course of 2025. And the simple reason for that is that the repricing was needed. So it's needed to respond to underlying loss trends. I think everyone in the industry, and we are part of that is getting more conservative in the loss picks. We have been adding to our initial loss ratios to make sure that we don't get surprised again by rising inflation or anything else that kind. So that puts pressure on prices. And I would expect prices to remain elevated for the rest of 2025. I would expect at the same time that our pruning actions start to fade during the year, right? So we started already in the second half of 2024. We've exited some accounts. We've been pruning some other exposures. We continue to do so in the first quarter. So the rate of, say, exit or decrease in our motor exposures should decrease throughout the year, if that makes sense. When it comes to the property rates, as you were asking in the U.S. Overall, we're a bit above 2% for the whole of the book. As I mentioned before, middle market is mid-single digit positive and large account tends to be either 0 or slightly lower than that. So on the back of a number of years where rates were growing, now we see rates moderating on the large accounts, which is one of the reasons why we haven't been growing there.
Operator: The next question comes from James Shuck from Citi.
James Shuck: I wanted to ask about the Farmers reinsurance program. Obviously, that's -- I think it's been renewed at this point. There was previously a $500 million retention. I presume the cost of that reinsurance is going to be far higher this year. But any update on how that's renewed and the associated cost of it and whether the retention has changed would be very helpful. And then secondly, I was just interested in your SGR report that was released the other day. You can see in there that you've taken down your U.S. hurricane and Californian earthquake exposures quite significantly. U.S. hurricanes probably fallen about 40% or so. I appreciate that is as at September 30. So I think it's probably not capturing the new reinsurance that you mentioned earlier, Claudia. My question really is kind of what's driven that sharp reduction at this point? And why was there no associated change in the nat cat required capital, which has remained stable at 6% despite those reductions?
Claudia Cordioli: Thank you, James. So on Farmers reinsurance, that's actually a question for the exchanges more than for us. What I can say is that retention has gone up -- that was actually renewed before the wildfires. So it's not a consequence of the wildfires. Retention had gone up slightly compared to the number that you mentioned, and that's actually what determines the loss that the exchanges have communicated on wildfires in the first quarter. So I think that gives you enough elements to drive where the retention is sitting now. On the -- sorry, the SGR report and the exposure on U.S. hurricanes. So we've been actually consistently driving a policy of containment of U.S. hurricanes and earthquake as well, exposure in the U.S. specifically. So that was actually intentional. Also last year, you might remember that ZNA, Zurich North America has taken quite a cautious view on property already starting in the second quarter. And they've made use of facultative reinsurance as well to limit some of the peak perils in a local fashion. So that's really the result of it. Now with the additional cover that we bought on a group level this year, that might decrease a bit further.
James Shuck: Sorry, Claudia, I suppose my question was why hasn't the risk capital actually come down in parallel with the reduction of both Hurricane and Californian earthquake still stayed the same at 6%.
Claudia Cordioli: Let me come back to you on that, James.
Operator: The next question comes from Dominic O'Mahony from BNP Paribas Exane.
Dominic O''mahony: My first question is just on EMEA. Rates of 3% and an outlook, which I think is moderating. And I was wondering if you might unpack that for us a bit. I was expecting maybe quite strong rates in personal lines, for instance, affecting Germany. Is that right? Is that being offset by other factors in EMEA? If you could give us a bit more detail, that would be great. And then the second one was you've been very clear in talking about the management actions in P&C, some of the, for instance, the portfolio exits. I just wanted to make sure I got my hands around what those are. So we've clearly got U.S. commercial auto, U.S. programs. There's the crop piece also that you spoke about. Is there anything else on the commercial side that you'd highlight as part of that sort of management action category?
Claudia Cordioli: Thank you, Dominic. So with respect to EMEA and the pricing level, you're right. So there is some degree of moderation, specifically in commercial property that we're seeing across Europe, I mean, in some countries more than others. But overall, again, on a very high level already from the increases over the last couple of years, the rate increase is moderating a bit. On the retail side, we are extremely happy about the rates that we are getting. So motor in average, just to give you a data point, is 8% rate increase. And if I look at Germany, which is the country that was in the biggest need of correction. We are 16% -- 15%, 16% up. So very, very strong. We are seeing also very strong rates in Spain, in Italy. We're seeing rate increases of roughly 7% in Switzerland, again, on top of what was already obtained last year. So I'm talking about motor here. So we are very happy about the way the retail book and the problematic part of the retail book is developing, and we are happy to grow in retail. One of the points that might not have come through in the press release is as well the fact that U.S. dollar was actually appreciating compared to Q1 2024. So if you look at the retail growth in Europe, there's another probably 3% U.S. dollar versus euro appreciation in the first quarter. That's partially offsetting the rate increase -- sorry, the GWP increase. On the portfolio actions in the U.S., your second question, I think you named the biggest ones. So motor programs, crop, maybe the other thing that I will mention was the net -- this discipline, I would say, that we applied in E&S exposures and in property, given that the rates started to slow down a bit. But I wouldn't call that a management action because property is still giving a very positive A versus C. We are happy about the way the experience develops, about the profitability of the book. So it's not a management action. It's just a bit more discipline in the E&S property space.
Operator: We have a follow-up question from Michael Huttner from Berenberg.
Michael Huttner: Fantastic. On the nat cat, you gave a figure -- 2 figures, 2.2% and 1.6% last year. And could you just talk a little bit about that? So you said you're very happy with your aggregate cover. Clearly, it's not biting at this level. What would be the kind of level where you're pricing for in terms of nat cat? And within this and maybe how far are we from this with the current figures?
Claudia Cordioli: Yes, Michael, we bought the aggregate on 1st of April. So it will not cover everything that has happened in the first quarter. I think -- I mean, when it comes to this year's natural catastrophe, there was the impact from the California wildfires, obviously, some severe convective storms in the U.S. Those are the biggest drivers. I will not derive from this 3 months figure a statement for the rest of the year. I think we are very well equipped with the additional cat aggregate, but also the top layers that we bought. So I feel very comfortable where we are in terms of net catastrophe position. And as we mentioned during the call before, also the gross underwriting has been taking significant actions. So on the net position, I feel very comfortable.
Michael Huttner: And just to remind me, the aggregate, where does it bite in terms of this 3.2% or whatever the ratio might be?
Claudia Cordioli: It's 1 in 5 -- 1 in 4 to 1 in 5. And I believe it's $850 million on a global level.
Operator: This was our last question. I'd like to turn the call back over to Ms. Claudia Colioli for closing remarks.
Claudia Cordioli: Thank you very much. So thank you. Thank you all for the questions and the interest. Before we close the call, just let me reiterate the key messages for today. So Zurich has made a very strong start in the financial cycle. The current quarter performance, as I said at the beginning, is underpinned by the diversified footprint that we've got, the focus on delivering sustainable quality growth, coupled with the strong capitalization and the financial resilience. And we continue to manage the business for the long term, as you know. So thank you again, and turning back to you, Mitch.
Operator: Okay. Thank you, everybody, for dialing in and your interest in Zurich. If you do have any further questions, please don't hesitate to call the Investor Relations teams. Thanks very much. Goodbye.